Operator: Good day, everyone, and welcome to the Full House Resorts Fourth Quarter Earnings Call. Today’s conference is being recorded. At this time, I’d like to turn the conference over to Lewis Fanger, Chief Financial Officer of Full House Resorts. You may now begin.
Lewis Fanger: Alright. Thank you. Good afternoon, everyone. Welcome to our fourth quarter earnings call. As always, before we begin, we remind you that today’s conference call may contain forward-looking statements that we’re making under the Safe Harbor provision of Federal Securities Laws. I would also like to remind you that the company’s actual results could differ materially from the anticipated results in these forward-looking statements. Please see today’s press release under the caption forward-looking statements for the discussion of risks that may affect our results. Also, we may make reference to non-GAAP measures such as adjusted EBITDA and adjusted property EBITDA. For a reconciliation of those measures, please see our website, as well as the various press releases that we issue. And lastly, we’re also broadcasting this conference call at fullhouseresorts.com, where you can find today’s earnings release, as well as all of our SEC filings. And with that all said, we did have a pretty phenomenal quarter. We actually gave you guys a big hint of that on the last time we spoke to you all, but revenues were up 8%, adjusted EBITDA more than doubled up 108% versus last year, part of that was last year’s fourth quarter estimate versus weather, but part it as well was just a wrap up of some new amenities that we’ve been introducing over the last couple of years and our focus on the cost structure including, we’re starting at Silver Slipper. Looking at the properties specifically, Silver Slipper, we do have several new amenities there. There’s the Oyster Bar that opened up in the middle of 2017. A few months ago, we launched the new sports betting area as that all helped lead to great results at that property. It’s really firing on all cylinders right now. If you look at revenues, they’re up 20% for the quarter. Adjusted EBITDA was up 74%, it’s the highest ever fourth quarter for EBITDA of the property. Growth gaming revenue was the highest ever.  Restaurant [indiscernible] were also the highest ever, up 10% over last year. And even with all those records and guest volumes up, payroll for the year was virtually flat increasing less than 1%. Rising Star, we have a new GM over there. He’s been there about 6 months now. He’s done a great job. And if you think about that property back in its peak more than 20 years ago, it made 50 million a year in EBITDA. That was one of the first and only Casino that was opened in the area. Now, with Ben there, it’s toppled out some fresh eyes in the property and he’s really gone in and started reinventing some of the ways we do things. And so, you’re starting to see that and the results. If you look at revenues there was a small decline, but when you look at adjusted EBITDA and improved pretty meaningfully. Last year’s EBITDA was only $7,000, my joke is we can buy a third of a slot machine with last year’s EBITDA. This year we got it up to about [$706,000]. In the meantime, we’re introducing, ramping up some of our newest amenities, includes our ferry boat, which makes us the closest casino to Boone County, Kentucky, and Boone County for those of you that don’t know is the home of about [103,000] people, and also the Cincinnati International Airport. It takes time to wrap up those new services like the ferry boat and as an example if you use Google map to navigate, it takes some time to get a ferry boat inserted as the fastest route option. It’s a process, but it’s one we have been making our way through and it’s starting to populate now. Bronco Billy’s should have been an up quarter except for snow that hit in the area on December 29. That’s a market that whenever there is a threat of snow, we find that our guest stays closer to home and find other things to do, and quite frankly that’s in part because there is so few hotel rooms in town and people don’t want to get stranded in the snow without a room. If you look at our own place, we only have 36 rooms and so it’s a little unfortunate to have that snowstorm hit on New Years weekend, but it did. In the meantime, we also opened up our newest Christmas Casino, opened there in November 1. Not a big building at all. It operates of the exiting Bronco Billy’s backbone. So, we don’t need a separate GM or a separate HR team or anything like that. We do have to pay the lease for the space, but from a labor point of view it’s not an expensive space to operate. So far, the initial response has been good and if you look at November as an example, we thought an 8% uptick in revenue at the property. For the full-year, Bronco’s EBITDA was down. Dan will touch on this, but the good news is, we’ve been doing a thorough review of operations at Bronco Billy’s and we’ve identified a few areas for improvement. In a lot of instances we have some self-inflected problems over there, but one of them is in marketing and as an example when we took over Bronco Billy’s we found out that there is some point liability bucket that didn’t have an expiration date, and so you had points for people that have moved, points for people that had passed away, but also points for people that were still good customers of ours, and so we made some tweaks. We gave out a few extras to make things right. We put in expiration dates on some of the points that had EBITDA, but that’s not a permanent expense item, it’s just a momentary bump there. And then lastly, in Northern Nevada, we had a lot of snow and snow is always good for that property because we need a normal ski season for the Hyatt where we are, as well as the other ski areas to be full. And when there is snow, we do well. And so, for the fourth quarter of 2018 we had a much better-quality guest in the door that belonged with the stockman’s revamp led to EBITDA that was up 114%. So, good quarter overall. I’m looking over at Dan to pipe in with a few words.
Daniel Lee: Few things I can expand on from what Lewis said. The Silver Slipper in May. We are renovating the Casino with new carpet wallpaper, table tops, new flooring in the buffet, and it will be different color scheme. So, we're not just replacing the existing carpet with the same carpet. And it will look and feel like a little more high-end place. So, first time it’s been remodeled since it opened a dozen years ago. So, I think it’s going to make a pretty big difference to the place and it kind of continuous what we have been doing. Property has been a pretty consistently for the three years we’ve been here. So, but I think it will go to newer heights this year. At Rising Star, we’re also doing a number of things. We recently introduced a resort free in the hotel, which is pretty common in hotels these days. We no longer operate our buffet at breakfast, but instead we offer a Fairfield Inn or Doubletree Hotel type of buffet that’s kind of free and that’s what you get for your resort fee if you will, but it’s much less expensive for us to have that free buffet than it was to operate the full buffet at the volumes we’re having. We’re actually going to modify one of these distinct restaurants that we can operate at more meals of the day and turn the buffet into something that just operates on weekends, which is frankly something most of our competition in that market is already at. We’re the only people, who have been operating buffet three meals a day, seven days a week, and we’ve already stopped the breakfast portion, and frankly we’re one of the very few people who operate seven days a week lunch and dinner, and when you really run the math on it, it’s not very economically for us to operate that mid-week on many days of the week. So, we’re making some of the changes there. We are making some changes in the casino with some of the stadium gaming facility, which we are installing in the next few weeks. Once we have that installed, we will offer fewer $5 tables and perhaps and not operate the casino, the table game is part of the casino in the wee hours of the morning. We do now at Rising Star and we don’t in our other markets. So, when you get into 5 o’clock in the morning, and Rising Star will have more employees at the table games area than there are customers, and we don’t to eliminate it until we have the kind of stadium gaming alternative, which gives you an ability to play craps or black jack and kind of a table games type setting. If you really run the math on a $5 black jack table, if the people sitting in that table are really betting only $5 a hand, even if the table is full, you don’t cover payroll, and so fewer other companies doing that as well of trying to move away from the $5 dealer dealt game and move in that game to more of a mechanized one. And frankly that’s I think a philosophy throughout the company and throughout the economy as minimum wages go up and unemployment goes down, we’re looking for every way we can to substitute technology for payroll and so that’s marketing kiosks, maybe it’s front desk kiosks, anyway we can satisfy things with the kiosk or drive people to where we are improving our websites where people can make their reservations for hotel rooms and special events on line and maybe we don’t to have the same staffing at the call centers and so on. That’s Rising Star. Bronco Billy’s, which is the only property we had that was down for the year and down for the quarter. And there were a number of things happen there. And some of it’s related to the fact that we’re getting ready to expand it. For one or least and participating games, we have more of them and our cost of that went up by over $200,000 and part of that as we know that as we start construction of the new hotel, we’re going to close part of the casino, and we actually tear down part of it and we refurbish part of it, it’s probably a fourth of the casino space. We don’t want to buy new slot machines today and then put them in a warehouse for two years while we’re under construction. So, to the extent that we’ve introduced new machines, we’ve done it with least and participating games and because they can be given back to the slot company in any given time and so that effectively cost us about $200,000 during the year, and once we get the parking garage open, then we end up closing part of the casino and that will be later this year. We’re starting the parking garage shortly, it will take 8 to 10 months to build it, and when it’s done, then we can start building the hotel on the surface parking, but as part of building that hotel, we actually close part of the existing casino. So, I didn’t want to spend money buying new machines, so we ended up leasing machines and that includes the recent results by a small amount, but if you were to look at what the cost of buy those machines would have been at $25,000 and then having them sit idle for two years at which point the game might have gotten stale. I think it was the right thing to do, but it did it to affect the immediate results. The second thing that we had happen and I think maybe we made a little bit of mistake in letting accounting drive a questionable business decision, but Pioneer was a private company and they would give people the ability to eat in the restaurants without any expiration date and so they had quite a few points out there that – there are people who are entitled to $10,000 of free meals and it would never expire. So, they could eat in our restaurants forever.  They might have been 85 years old, when they die it ends, right. And so as a private company they didn’t worry about it very much and frankly if you think about your airline frequent traveler programs, some of them have expiration dates, some don’t, like I’m in the Southwest Airlines once, I don’t think they ever expire, and I get a ton of points in there and of course my mentality is that some of them are going to retire and travel around the world on Southwest Airlines I guess right, which will probably never happen, but that’s the mentality you have and if they ever sent me a notice saying we’ve change our rules and you have to use all those points in the next six months, I would be pretty pissed off, but in effect that’s kind of what we did with our customers and so we’re changing the program, the points you have are going to expire, but on the good side, we’re going to give you lots of new points. We’re going to [cup] new food and we got all these new programs and so on. So, we had a lot of promotional stuff going on to kind of offset little bit of an accounting decision, where we kind of said, look as a public company we did take a charge of $100,000 to reflect what we thought was the accrued, but previously booked liability related to these points that never expired, but as a practical matter we also started telling the customers you got to use these points and then we didn’t want the customers pissed at us, so we did more stuff to them. That probably cost us. I know that we had $400,000 more comps than we had in the previous year. So, it’s in the hundreds of thousands of dollars, but that cost us, and I think it’s kind of a one-time item going forward. We can go back to kind of normal ways. We’ve made the change and so on. And so, I think going forward, we will have less promotional spending and be back to a new normal. The third thing that happened is on taxes. Colorado has a steeply progressive tax scheme, favors small casinos. For example, on the first $2 million of revenue, the gaming tax is only 0.25%, it’s essentially almost free, and the next $3 million is taxed at only 2%, and then it kind of ramps up until you get to, I think $13 million or more in revenues then it’s 20%, which is still relatively low for regional gaming, but it’s at [13 million]. Now if you’re in Ameristar running in Black Hawk $175 million or $200 million of gaming win, this doesn’t matter very much, because you hit that 13 million pretty quickly. The way Bronco Billy’s evolved and it’s true of a number of the casinos in Colorado, it was one small casino in the middle of the block and it was the best run one by Mark, who’s actually getting ready for a well-earned retirement, sorry to see him go, but we’re trying to figure that arrangements out, but Mark has run it 28 years.  And he started out in the middle of the block and it was the best run place and gradually the casino to one side wasn’t doing so well and was available. And so not just he, but other casinos at the same time looked at, do we acquire the place next door, it’s only taxed at 2%, but if we combine the two licenses we go to a higher tier and it’s hard to make that economically work, and so the gaming commission, the different parties, including I presume Bronco Billy’s, this would have been 20 years ago, went to the gaming commission, is it okay if we buy the place next door, but continue to operate it as a separate license, so both of the casinos stay on a low tax tier. And then the question was asked later about a third license. The state law only allows you to have three licenses. So, caps out of three. And so, we have three licenses there. By the way our principal competitor has three licenses too, that’s Triple Crown and then I think the Century guys have two licenses. So, it’s a pretty standard thing that goes on. And the gaming commission allows that to happen except for two things. You had to operate a cage with each license. And which then means, incurring payroll and some tight up capital. And the TITO tickets from one camp be used in another, which creates some custom confusion. So, if you walk through Bronco Billy's today there is a couple of steps and at the top of the steps, you’re in Billy’s and at the bottom of the step you are in Bronco Billy's and the TITO tickets from Billy's aren’t used in Bronco Billy's and so you have red tickets, blue tickets. It is a little confusing, but we have very regular customers and they all are accustomed to it. Now, having explained all that. If you were to take our revenues and divide it equally amongst the three licenses that would be the maximum savings you could get and that would be about $1.5 million. We don't get it quite equally. You're never going to get it equally because you literally have a line of a building that if you're on that carpet you’re in one casino; if you're in this carpet you're in the other casino, and your revenue is never going to fall perfectly equally. We were $650,000 from perfect this past year. In other words, the way the revenues fell, we didn’t save 1.5 million, we saved $900,000. You didn’t really save that either because there’s probably $0.5 million of cost from operating the three different cages. Now, moving one license down to the Christmas Casino, actually it hurts us somewhere down there because it’s not doing a third of the revenues with the whole complex. So, it makes it even a little more out of balance, and so – but in the year, our gaming taxes were up, I think it was about $150,000. And it was just a matter of the balancing because our revenues were, well our net revenues were flat, but gave away a lot of free play because of the other things we were talking about. So, our gross revenues were up and in Colorado they taxed the gross revenue, so you do not get a tax break on free play. So, now all of that complicated and it sounds like big numbers, but that’s because we’re so small. And when we’re all done building the hotel and the improvements of the casino and so on, I think our revenues would probably be two- or three-times what they are today and at the higher revenue numbers this little tax savings by having three licenses becomes pretty insignificant, and so for example Ameristar and Blackrock doesn't bother. They don't want the consumer confusion of saying well these are red tickets and those of blue tickets and they don't want to have to operate two cages and so on. And so, I think this tax thing is kind of a temporary issue and it’s something that hurt us this past year, and it’s something that you kind of manage because it’s real money and a few hundred thousand dollars. But those three things are really why Bronco Billy's was down last year. Our payroll was about flat despite the fact that the minimum wage has been going up there every year, but it was more participation games. It was more promotional stuff and then gaming taxes with the three main things going on in there. So, when Lewis said, we were trying to understand the operations of Bronco Billy’s a little better that’s really [indiscernible]. So, and I think we have a good handle on it now and we're trying to improve the results even as we get ready to build the bigger project. The lawsuit that was filed after we got approval to close second street and the [ally] has been resolved. We’ve won. So, at this point we're working with the contractor should be ready to go on a couple of weeks on the parking garage and it will take 8 months to 10 months to build. And so, we're pretty excited to move on to the next step. With the most of our competition in town has parking garage because we don’t. It matters when it snows or rains, which it does pretty often here in the mountains. Our parking garage has been the most convenient parking garage in town, but the main reason to build it is to allow us to then build a four-star hotel for the surface [indiscernible] today, and to put in perspective on Bronco Billy's does $98 of win per machine per day in a market that on the same basis and that’s gross win, but on the same basis the state provides the numbers of the citywide average about $75. So, we do better than average in the city, but if you look at Black Hawk, Black Hawk averages over $200, and Ameristar seems to be over $400 per machine per day. Now, machines don't gamble. People gamble, but – and Ameristar is about 1,200 machines we have bought 900 machines. The big difference is they have 536 guest rooms running high occupancy at two people per room. I stayed there last Friday. They charged me $270 per room, standard room, and so you start running that math and saying well there is wealthy people in Colorado Springs too, we can do the same thing in Black Hawk that Ameristar did or same thing that Cripple Creek and Ameristar did in Black Hawk and I don't think we get to $400 per machine per day, but if you work backwards on more people in the property, and how much those people are going to gamble person and divided by a thousand slot machines, I think we can do significantly better than we are today. So, we are at about $100 million per machine per day, Ameristar is at 400 Black Hawk in general is at 200. I think we can be close to the Black Hawk average and based on just having more people in town. It’s an unusual market at 6 o'clock, 7 o'clock in the evening. The town clears out, because everybody wants to drive back down the roads.  It is not a bad road, but it gets dark at night and there’s a lot of deer out there, but not too long ago, I almost hit a Lama. Some Lama got out of its farm and standing along the side of the road and so people tend to leave and most casinos are busiest in the evening and in Cripple Creek, we’re busy in the afternoon, just because we are in hotel rooms. Otherwise, as a company, we’re looking at other stuff all the time. This is the time of the year where state legislatures are in session. There’s lots of steps going on, as you know we’ve had proposals and have proposals for Terre Haute, Indiana. There is a [fill in the Indiana] legislature, keeps getting twisted and modified and everybody tug in and employing to try and get some advantage out of it, including us. And we’ll see where it ends up. In New Mexico, they started a process last year with a request for proposals for the last gaming license in New Mexico and we put in a proposal or five proposals we have an option in the site closest New Mexico. The racing commission did not come to an agreement yet. One of the other proponents filed a lawsuit to try to prevent them from reaching an agreement. They had hired a third-party to do a study of the different proposals, and our proposal came out ahead, and I think every category they had, which is not surprising. We proposed just – invest 200 million, and everybody else was like $50 million, $60 million projects. Our project was bigger, provides more jobs, more tax revenues, more creativity than the other jobs, and that’s basically what the consultant study said. And so, one of the proposals that was kind of the weakest proposal filed a lawsuit saying the study was flawed, while it’s easily rectified that the study was flawed, put in your own study. But one of the things that we found out in the meantime and it was in the press was it turns out the Chairman of the racing commission is part owner of some racehorses with one of the other proposals, and the guy with that proposal has also made pretty big political contributions in the state.  We don't play that game. And sometimes that means we lose. I remember one time when I was at Pinnacle, we had a proposal in a major city. It was clearly the best proposal and then the Mayor of that City in a private room told me that we would have to give 10% of the project to one of his buddies in order to get the project, and we refused to it. We weren't chosen. The project that was chosen did have the buddy in as a partner. The Mayor is in prison. And so, we don’t play that game. If it’s a clean competitive process, we’re happy to compete for it and come up with something that we think is best in the state. In the case of New Mexico, we sent a letter to the head of the racing commission and kind of put the new governor on notice as well saying that we thought he should recuse himself, because he has a conflicting business interest with one of the other proposals. He has not yet recused himself, typically – well every member of the racing commission is appointed by the Governor.  We now have a new governor with different political parties than the old Governor and we don’t yet know what she’s going to do, but we didn’t want to sit here quietly knowing that the Chairman of the racing commission has a clear conflict of interest and has refused to recuse himself. So, we made some noise about it. Along the same lines, the State of Virginia just passed a bill that may legalize casinos there that something will look at. So, this is the time of the year where stuff happens in that area, and it’s tough to know where there’s real opportunity for us and where there isn’t, but we pay attention to all of it. Frankly, we have quite a few growth opportunities just with Cripple Creek, and there is no government approvals needed at this point. We have everything we need to do that expansion and that’s going to keep us busy for the next couple of years. So, all this other states by the time they get through enabling legislation and everything else it would follow the construction work if any to do with Cripple Creek. And I will tell you also why are the parking garage is under construction, we will need to figure out how to raise approximately $115 million to build the balance of project, and so we will be looking at the financial markets and try to figure out the right way to do that. It will be mostly debt. I don’t know if it can be entirely debt or whether we would bring in a partner or REIT or there’s many different ways we can do it. We want to get the parking garage started. We have enough cash plus our cash flow generating from operations to do that and I don’t want to raise the money now, and then sit on it for a year paying interest or taking fee on it or something, while we just built the parking garage. So, we’re trying to get the parking garage going, so that we’re [indiscernible] ready when we raise the money to go ahead on the rest of the project. Did I miss anything? I think I got it. I think it was Mark Twain who said nobody is safe on the state legislatures and session and I’ve seen it go both ways, so the bill in Indiana seems like every day has some new twist and turn in it, and we watch it.
Lewis Fanger: Alright. Let see some questions.
Operator: Thank you. [Operator Instructions] We’ll hear first today from David Bain with ROTH Capital.
David Bain: Great. Thank you and nicely executed quarter. I was hoping you guys could plan on the $40 million casino hotel investment by Triple Crown and Cripple Creek and how that could differ or help, you know I did see one comment by one of your managers that it is a helpful thing, hope what you’re doing and the fist mover advantage matter, they are claiming that they can begin construction this summer.
Daniel Lee: I think that’s great, but if you were to look at a map, first of, if you look at the Triple Crown property in general, it’s a little convoluted. There was a gift shop, they never bought out, it’s a private company and the owner of that company has got sideways with the owner of the gift shop. So, they have two casinos that abut each other and then a third one that is 25 feet away and they have a whole series of capwalks to kind of go around behind that gets very convoluted and their sense of rival is if you park in a parking garage and you go into those capwalks and their lobby hotels like in the third floor and probably a third of their rooms have no windows. You see the no windows are, I stayed in one once and it was like a textured window that looked out on a light shaft, which is almost the same as no window. And the rooms are really small what they have, and so it is kind of prone to – we will get by, nobody's confused with this. Well, if you look carefully at what they’re building, and they had some sexy renderings, but they have two pieces of land on Myers Avenue, not Bennett Avenue, that are each relatively small and they didn’t ask to close third avenue, but they plan to bridge over. So, they’ve asked City Council to be able to bridge over and they have total rooms on both sides of Third Avenue. Now their Casino is not on Myers. And not even on third Avenue. And so, their sense of arrival in the future will apparently be the same as it is today, which is pull another parking garage, park your car, which is not a great sense of arrival. Then you will take an elevator down to a new lobby that they’re building on the corner of Myers and Third, and you check in.  Now, let’s suppose you’re on the fourth floor on the east side of third street. You take the elevator up to the third floor and cross a bridge into the building that’s on the Eastside of Third Street where you’ll take another elevator to either go up or down because most of the rooms won't be on third floor. So, now you decide to go to the casino, you go back to the third floor across the bridge through the catalogue system to the casinos that are actually up on Bennett Avenue and take an elevator down to one of those casinos. And so, it’s kind of like more of the same if you will. And I looked at it, and I thought, okay that’s fine. That’s a good thing actually. They’re adding 150 rooms in the market, and the market doesn’t have enough rooms. Now, I love to see cost that they have, they said 30 million to 40 million for 150 rooms and at first, I thought, am I confused because our whole project is 135 million and we get about 186 incremental rooms, but ours also has replacement for good chunk of our casino and refurbishment, a late refurbishment of the rest of it. It has a parking garage that we don't have. As a real sense of arrival, and we have a lot of meeting and dimension space that we intentionally made bigger than our hotel actually needs, because if you in the future get a smart convention up to this town, we want the people staying at Triple Crown’s hotel they have to come over to our convention space at the back of our Casino rather than people at our hotel having to go to a convention at their place. So, to some extent, we had kind of banked that there would be other hotel rooms. Now, then I went and did a very careful analysis of what Ameristar built, what they spent in their place. Now that property was originally built by a partnership out of Dallas and run by Hyatt. And they had $150 million invested, but they didn’t have a hotel. They just built a casino and a parking garage. And it didn’t offer anything different than what was already in Black Hawk, and initially it's revenues per machine or for table game are no different than the other ones at Black Hawk and they had pretty high cost debt and expensive management fees to Hyatt, and so they went bankrupt. Ameristar bought it out of bankruptcy for 120 million and Craig Nielsen was a very old creative guys despite being [indiscernible] really an amazing guy. And I knew him and I remember him talking to me, he was going to have to move a mountain to build a hotel. Ameristar by the way is on 5 acres. We own 5 acres in Cripple Creek, very similar to [indiscernible], but they went straight up in order to get it. And we can't go there to Cripple Creek because of the architectural code, but they are 50 stories tall with the swimming pool on the roof and it’s quite stacked and the Ameristar casino is actually on two levels, whereas ours would be one level above others from stair step and that goes on.  And – but he literally moved a mountain. I think that they had blasting and earth moving going on for about a year before they could build the hotel and he paid a lot of attention into the design if it. Well then, after buying Ameristar he improved the casino putting better slot machines and décor and then he built this big hotel and the hotel was, I think 235 million, I’m going off my memory sitting here, and I think, they had put about 50 million in the renovation of the casino and when you add that all up and divided by the number of guest rooms or divided by the square footage it is very enterprise per guest room or price per square footage of what we are planning in Cripple Creek. Then I went looked at the Monarch numbers very similarly, they are in the midst of building a big improvement expansion again. They built a parking garage, they are improving their casino, they are building a hotel and are numbers on a price per guest room or price per square foot are very, very similar to what Monarch is spending and when I looked at what Triple Crown announced, it’s the miss match.  It is like, which one doesn’t belong here. It is like, Triple Crown, which tells me either they are diluting themselves to think they could build this for 30 million to 40 million and there is probably some of that or what they are really going to build was [indiscernible] not a four start hotel and there was probably a little bit of that too, but the fact that they announced that it was 30 million to 40 million doesn’t mean it is going to be 30 million to 40 million and I went back and double checked my math to make sure we weren’t making a mistake and because our place is all designed and bid to contractors and so on.  And we are not wasting money that’s the number and the fact that somebody else says they think they could build another hotel for less, I don’t know how, go to town, we are all going to be cleaning for the same carpenters and same electricians and I guess we have a little bigger budget. So maybe we will have a better chance to getting those people and recognize it. Cripple Creek is a small town, Colorado Springs is not and of course Denver is not and so Like our parking garage is a, what you call, it is a – there is a construction term for, I think of it as tanker toys, but the slabs are powered in Colorado Springs and they are pre-fab and they are put on a truck brought up and a crane puts them in place. So, a lot of the stuff can actually be done no tin Cripple Creek, because Cripple Creek is a very small town. 
Lewis Fanger: More rooms, Dave are ultimately going to be better for everyone. If you think about what Dan said earlier about the town clearing out at 6, or 7 at night and what I said about the threat of snow keeps people away because they don’t want to get stranded in Cripple Creek without a room and there are no [indiscernible] and that is not the way that it should be. And so just having more rooms will help reenergize that town to a great degree and we get super excited for our own place. It is all to come.
Daniel Lee: Look, I would say, I think it is perfect. They are going to add 150 rooms and I think those rooms are going to be in [indiscernible]. That is the best of all rooms. I mean part of the reason Bellagio is so successful was Monte Carlo was built next door and was connected to it. That was by the way by design. We knew Bellagio would get most of the gaming revenue by the people staying at Bellagio, but that to make the numbers work you really needed to have people staying at a less expensive hotel who would also spend part of their gaming revenue at Bellagio. And so, we were the partners in Monte Carlo, which is now part of [indiscernible] and it was part of what made Bellagio a successful. So, it had somebody else build the Monte Carlo, that’s great.
David Bain: That’s very helpful actually. Thank you. I guess, if I could just one more. The New Mexico raising commission, my understanding is that they have a meeting come up on Thursday and this was on their agenda, is the conflict perhaps going to be one of the topics, I don’t know what the channel would call that out in an agenda, but that and then the other question would be, are there changes or anything going on by competitors or is this simply now sort of lying in ways for the injunction and if that is the – if you have any visibility on timing that would be helpful? Thank you.
Daniel Lee: We really don’t. It’s our understanding that the attorney general told the racing commission that they should not come to a decision while the litigation is outstanding. The litigation I think is scheduled for hearing in April, if I recall correctly. And so, this is not a fast road to anything. And of course, the governor is new in her role and she was a Congresswoman. Now she's Governor, and I’m sure she’s scratching her head thinking what do I do here. And it could be anything from we're going to have a whole new racing commission and start the process all over to we're going to reopen it. So, any of the existing bidders are going to improve their bid to making the Chairman step down. Typically, what happens in a situation like this. All the members submit their letters of resignation and this is true in almost every state, and the new Governor decides, which ones to accept and which ones not to accept. So, we don't know where this is going to shake out. We made what we think is a great proposal for the state of New Mexico. We think it’s the best proposal. We’re standing behind it. We publicly called for this to be a clean honest process and we hope and believe that it will be.
David Bain: Great. Thanks again, guys.
Lewis Fanger: Thanks David.
Operator: [Operator Instructions] And we will hear next from Macquarie’s Chad Beynon.
Jordan Bender: Good afternoon, guys. It’s Jordan Bender on for Chad. Sorry if you went of this, my line was a little breaking up during the beginning of the call, but do you guys expect an impact from the Sliver Slipper renovation and how long will that last if so?
Daniel Lee: No, not really. It’s a – well it makes a pretty big change in the place. It’s really just new carpet a wallpaper, the buffet gets some new carpet and furniture as well. And like there is a big yes, but for chiseling out and putting in kind of a nicer [indiscernible], and you just walk around it. So, it’s something that you do during the late-night shift and an off-week and there will be some weeks where you [go in] and one side of the casino will be blue and the other side of the casino will be the new rate, but it shouldn’t be very disruptive.
Jordan Bender: Okay. Can you give us an update on…sorry?
Daniel Lee: Casino’s change their carpet all the time and our corporate needed changing. It was getting pretty bare. But we decided we wanted to not just change the carpet to a new copy of the old pattern, we wanted to change the pattern to make it bolder colors and pop a little more and bring in some elements of the sea side location. And so, like the carpet has some palm fronts in it and that sort of thing. And so, we designed it. So, you will walk in and say, wow this is different. Whereas casinos change their carpet all the time. Just replace the cigarette stains and most of the time you don't notice it.
Jordan Bender: Okay. Can you give us an update on the [indiscernible] study so far on Mississippi and is it starting to drive in the incremental visitation to the property?
Daniel Lee: Well, the property has done well the last six months. The sports betting is a pretty small part of the [EBDIT]. A few hundred thousand dollars?
Lewis Fanger: Of EBITDA yes. That is right.
Daniel Lee: Like $200,000 or $300,000 if I remember correctly. And we’ve run a little better whole percentage than you would normally expect and there is absolutely no truth to the rumor that we paid out the rest of the [indiscernible] and kept the Saints out of the Super Bowl. But I was concerned about that because had the Saints been in the Super Bowl, our customers will go to bet on the Saints and it didn’t matter what we did with the line. So, I actually kind of root for the Saints because they are our home team, but on a business sense, I was concerned about them being in the Super Bowl, and they weren't. So, we didn't have a problem. And frankly, our customer counts were up in the last half of the year and certainly the [sports book] probably helped that, but we were running pretty good results even before that. So, I think it’s been a plus, but I wouldn't attribute all or even half of the improvement we had in the year to the sports book.
Lewis Fanger: Yes. If you think about, Jordan, the gross gaming revenue for that place, even excluding the sports book we would have had our record gross gaming revenue quarter for what it’s worth. So, it’s a place that is really inspiring on all cylinders. And there’s been a big shakeup in some of the recent markets and some of the kiosks, kiosks ideas that Dan mentioned we’re using in marketing over there, should adapt to some of the direct mail, but we’re doing a lot of smart things, the team there is doing a great job.
Daniel Lee : I’ll give you four things that I think were important there. One is the sports book. Although I don't think that’s the first. Second, and this might be the most important one, is the stuff that we did about two years ago. The Oyster bar, palm trees, the Beach Club, you know it’s a much better sense of arrival now than it was two years ago. And it didn’t, I think that has an influence over time. Third, the city of Baton Rouge banned smoking at its Casinos. And you’ll notice that Baton Rouge's casino revenues have been down consistently for the last 9 or 10 months since that came into play. That has certainly helped us because our customers who live on the North show up like [indiscernible] or go out of their driveway they could turn right and go to Baton Rouge, they could turn left and go to [indiscernible] Mississippi, and if they’re smokers and they want to smoke, they can come to our place.  We have all sorts of ventilation systems to try and keep our casino from being smoky, but we do allow gamblers to smoke. And then the fourth thing was the Island View Casino, which is one of our biggest components it is – we have two primary competitors right where we are. Hollywood Casino is just a few miles from us, and Island View is a little further down the road in Gulfport, but Island View is a really big property. So, they are kind of a big competitor, may be our biggest competition. And then we also compete with Harrah's Casino in downtown New Orleans because people in North [indiscernible] are equal distance from us as they are at Harrah’s and as I mentioned we compete with some of Baton Rouge. We compete much less with Biloxi, which is further to the east. When Island View opened a big expansion early last summer, like their beach casino is a pretty big investment, like a second entire casino on their place with a bunch of new restaurants and so on. And preparing ourselves for that, we implemented all sorts of new marketing programs that the property came up with and different ideas of how to make sure our customers like us. And we never had a blip from their expansion. And they got a rise in their revenues. I don't think they are getting a very good return on their expansion, but it was kind of like we went out with all these new marketing programs and all seem to work and if you were to look at our financial statements over a period of several weeks, you can't even tell when they opened their expansion. So, that was the fourth thing as just – sometimes the creation of a new competitor causes you to get more creative of what you're doing and the new creative ideas turn out to be more important than the detrimental impact of the competitor. Those are the four things that I think happen. By the way, I should mention we are working on getting the entitlements to be able to build another tower at the Silver Slipper, still it could be used on the road, but it’s something we're working on.
Jordan Bender: Okay. I appreciate. I’ll pass it on. Thanks guys.
Lewis Fanger: Thanks Jordan.
Operator: And with no other questions, I’d like to turn things back to you all for closing remarks.
Lewis Fanger: Thank you, guys. Great fourth quarter and look forward to talking to you again in a few months. Thanks everybody.
Operator: And that does conclude today's conference. Again, thank you all for joining us.